Operator: Good morning, ladies and gentlemen, and welcome to the Ceres Power Holdings plc Interim Results Investor Presentation. . Questions are encouraged can be submitted any time by the Q&A tab situating in the right-hand corner of your screen. Just click Q&A, scroll to the bottom, type your question and press send. Company may not be in a position to answer every question received during the meeting itself. However, the company review all questions submitted today, and publish responses where it's appropriate to do so. These will be available via our Investment Meet Company dashboard. We're notified by e-mail when they're ready for your review. Also, I'd like to remind you this presentation is being recorded. Before we begin, we'd like to submit the following poll. I'd now like to hand you over to Phil Caldwell, CEO of Ceres Power Holdings plc. Good morning.
Philip Caldwell: Good morning, everybody, and thank you for joining for this interim results presentation. I'm joined by my colleague, Richard Preston, CFO. And I'll talk you through business highlights. Richard will talk you through the numbers, and then we'll give you a wrap-up on strategy and progress. So let's move on. So we're very proud of these results, actually, for the first half of the year, very strong performance, considering the difficult business backdrop that we've experienced over the past year. So revenue, more or less doubling compared to this time last year, which reflects the tremendous progress we've made with our commercial partnerships. And we're maintaining a sector-leading gross margin of over 70%, consistent with our licensing business model. We've seen, I think, in the past year, unprecedented demand for fuel cells and hydrogen. And in March, we decided to expand the business, particularly moving into the area of green hydrogen using solid oxide for electrolysis. And we raised just under £180 million through a new equity fund raising, which was fully supported by our strategic partners in Weichai and Bosch. And that's really enabled us to potentially double the market applications for this technology. Just on Weichai, we can't say too much at this point because we are in mid-discussions. But things are progressing well with Weichai. We signed a new joint development with them for stationary power systems alongside what we're doing on transportation. And we're in discussions on our strategy towards China. So that's progressing well. But I can't really give more of an update at this point. We've had increased interest in some new applications for the technology, particularly in maritime with 2 new feasibility projects underway with Clean Maritime Demonstration in the U.K. with the likes of Carnival, GE, Lloyd's Register, et cetera. And our partner, Doosan in South Korea, one of the major shipbuilding nations has also signed partnerships with Hyundai Heavy Industries and Navig8. So we'll say a little bit more about the shipping opportunity. And really, we're consistent with our purpose. We're seeing more applications for the technology to address climate change and take us through the energy transition towards a net zero future. Just a quick overview of the strategy. What we have really is a unique platform technology, which is the SteelCell. And with that common technology, we actually address different power systems. We're making good progress now with Miura in Japan, with Bosch in Germany and very recently, with Doosan in South Korea and Weichai in China; and also using the same common technology, common building block expanding into the area of solid oxide electrolysis for green hydrogen. And we're engaging with oil and gas and some of the global majors who have high interest in this potentially high-efficiency move towards green hydrogen. Just a quick word on products moving towards commercialization. Doosan recently announced the successful completion of a 10-kilowatt system with plans for a soft commercial launch later next year and then a ramp-up from there. Don't forget, we also signed a very significant technology transfer and license with Doosan, and they plan to bring on production in South Korea of a 50-megawatt facility as well around the 2024 time frame. So that system that you see in that picture is the result of a 2-year joint development, which we initially signed with them to focus on systems. And since that time, we've also expanded them into a manufacturing licensing partner as well. The middle picture there is the Bosch System. Bosch said publicly earlier this year, they're investing €400 million into solid oxide fuel cells, with plans to scale up by 2024. And they're putting out 100 small-scale stationary fuel cell power systems into operation this year. And the unit you can see there is a 10-kilowatt system, which contains 2 of our 5 kilowatt stacks. And then, to the right of that, you see Miura in Japan. Miura is our first partner to launch commercial products, and we're continuing to provide low volume for stacks to Miura to support its commercialization. Some of that commercialization has been somewhat slower with COVID because they address the commercial market at convenience stores, office blocks, et cetera. But we're very pleased with the relationship with Miura and the technology progress that we've made to date there. Just a few words on maritime. Maritime is one of those very hard to decarbonize parts of society. And we're seeing more and more of a focus on solid oxide technology to potentially decarbonize shipping. The International Maritime Organization has mandated now a reduction in greenhouse gases by at least 50% by 2050. And if you think about solid oxide, it offers a really good transition technology because of the multi-fuel capability, can run on natural gas, can run on hydrogen and can run on future fuels, such as ammonia, which is increasingly becoming interesting for decarbonization of shipping. Doosan, our partner in South Korea, has engaged with Navig8 and Hyundai Heavy Industries. So one of the largest shipbuilders in the world. And as I mentioned earlier, we now have U.K. support for feasibility studies with 2 consortia to start to look at exploitation of solid oxide technology and marine applications. So that's a new high-value market for sellers and also higher power kind of applications. It takes us, again, up into the megawatt scale of application. The potential market for this is obviously very significant industry, estimates about $1.65 trillion will be needed to decarbonize, shipping by 2050. And that translates the power requirements in that industry around 700 gigawatts. So when you think about the challenge to decarbonize all the different parts of society, this is a pretty significant segment for our technology in the future. Just a few words on the leadership team. I'm very pleased to announce recently Caroline Hargrove will be joining my executive team as Chief Technology Officer; and Mark Selby is moving into a new role as Chief Innovation Officer to look at technologies beyond solid oxide but aligned with our purpose in addressing net zero and climate change. Caroline is very accomplished. She's been CTO of McLaren Applied Technologies and Babylon Health and she brings some really key experience, particularly around digitalization into the organization. And Mark continues to be a key member of the executive team as we look towards expanding the business with new technologies in the future. So really positive to strengthen the team. With that, I will now pass you over to Richard, who will talk you through the financial update.
Richard Preston: Thank you, Phil. So just have a few slides here to summarizing where we were for the first half. So as Phil said already, really pleased with the revenue growth, nearly 100%, maintaining extremely strong gross margins. And we expect that those margins will remain high in the coming periods as well. I think one also sees is the order book and pipeline. And although that's come off from 6 months ago, this is expected. We still got coverage of roughly 2.5x and revenues there. So it gives us great visibility going forward. Now from an EBITDA perspective, we've slightly improved from the previous period last year, but it's not something we're focusing on, particularly. There's another slide, which we'll walk through in a second, which splits out the EBITDA between the 2 sides of the business, SOFC and SOEC. But really, what this shows is the despite the significant increase in revenue and gross profit, we're putting money back into the company, looking at opportunities, both in SOEC and our power in SOFC. And as Phil mentioned already, we raised just under £180 million early this period, which leaves us an extremely healthy cash position of £260-odd million. So just looking at revenue, you can see, again, we've got some previous periods here. We're maintaining it. It tends to bubble around depending on mix primarily, and we're still above 70%, I think that's where we see it going forward. In terms of the mix, you can see there that a big chunk of the revenue in the year was license revenues, and we expected this. I think the ratio of the mix would change slightly in the second half, but I think we'll still maintain our gross margins at same level. So just going to the next one. Clearly, we raised the money. And really, this is trying to show that actually, we're putting it to good use. From the perspective of most of it is going or a lot of it is going into R&D, but we also expect, over the next few periods that our CapEx is going to increase as we put more into manufacturing capacity and test expansion, particularly. I think that will come through in 2022. So really, we're putting our funds to work. And this is a trend that we will expect to see increasing over the coming periods too. And finally, for the first period, we've separated out for our investors and clearly internally as well, the 2 sides of the business. So the fuel cell side and the more nascent electrolysis side. And really, what this is showing is that it's beginning to show the investment phase for the electrolysis side. The 2 businesses, although we still run it as a single business, one can really see that SOFC is matured, while SOEC is definitely in the investment phase, and we'd expect to see revenues a bit further down the line. It's a few years behind SOFC. But one can see that solid oxide fuel cell side, the performance is improving, but we do highlight it will likely to be loss-making in the short-term as we continue to invest in new applications and higher power applications in that side of the business. So on that, I'll hand you back to Phil for a review of the business strategy.
Philip Caldwell: Thanks, Richard. So I mentioned earlier the expansion of the company, and we've just talked about starting to see the progress coming through on the numbers in the solid oxide fuel cell side and the investment into electrolysis for green hydrogen. And if you think about the business historically, we've expanded the business into more and more applications on the power side, particularly on stationary power, moving into commercial buildings, data centers, et cetera, and also transportation applications that we just discussed. But again, if you take that core cell and stack technology, running it in reverse, you can potentially have a very valuable boot towards green hydrogen. And that's exciting for the business because it potentially opens up some of these new markets around sectors that are hard to decarbonize. So it takes us into hydrogen for e-fuels, for industry, for decarbonization of things like steel, ammonia, cement, hydrogen gas blending, et cetera. And it really takes us into a whole new area of potential partnerships. And we've had very significant interest in this whole area of solid oxide electrolysis. As we've announced our intention to go forward with the development of the technology and the demonstration of megawatt scale next year. So we're really pleased with the progress we've made and also with the market response to this. I think what's key on this is this makes a lot of sense for the expansion of the company because it's the same cells and stocks, the same supply chain, same manufacturing capability that can potentially service both markets. And as Richard said, we're keeping this together as one business currently because majority of our teams, R&D, manufacturing, et cetera, are common to both, but we're starting to report on it from the commercial side, so that investors can see the progress on the power systems side and the investments going into the hydrogen side. Just a quick reminder, the use of funds. So we did raise £179 million, as we mentioned. About 25% of that is to grow the SOFC business into some of these new opportunities that we've talked about, higher power, which is what we're doing in South Korea towards utility-scale and also some of these new applications like the maritime applications we focused on today. And then about £100 million of this over the next few years will go into the development of the electrolysis side. And then 20% is what I would call foundational, which is the infrastructure for test, manufacturing capability around digitalization, et cetera, that we -- that really underpins the innovation and the technology side of the business. So that's a reminder of why we raised the money earlier this year. Just a quick update. This is a work in progress, but our intention is to demonstrate this 1 megawatt scale unit and have that commencing operation in 2022. Our target is $1.50 a kilo of hydrogen, which we believe at scale, we can achieve because of the high-efficiency offered by solid oxide electrolysis. So we're excited with the progress we're making on that. We are in discussions with a number of partners, and we can update you on that as well. When we think about potential partners, we're getting interest from oil and gas, from industrial gas companies and some low-carbon energy applications as well. And we believe this area of the business will be at least as large, if not larger, than our power system business because the demand for green hydrogen is set to grow and double every decade to 2050. So we believe that our timing in this market is right. We will have the demonstrator next year, and then we build commercial partnerships beyond that. And then we should be able to address this growing market as we see it laid out in front of us. The business model and strategy is exactly the same. If you look at the chart on the left, we're driving more and more demand for applications for the technology. And for those of you that know the company well, we've expanded from CHP adding new applications all the time, data centers, vehicles, utility-scale power and now getting into marine on the fuel cell side. For SOEC, this is just beginning. So in the future, we'll probably start to segment this by different industrial applications, different target markets. And really, what that does is that drives the demand for our manufacturing licensees. And again, we're targeting expansion geographically of our manufacturing capability in the future. So it really is an ecosystem where we drive demand on the left-hand side, and then that creates the need for the supply and the manufacturing licenses on the right-hand side. And again, what we are seeing, the evolution that we're going through on the power systems side through joint development agreements and license fees leading to royalties. We see that from the announcements of market launches with our partners like Bosch and Doosan turning into royalties from 2024 onwards, as illustrated in this chart here. We expect the new electrolysis side will obviously lag this by several years, but we'll follow the same kind of profile. So we do think it's very synergistic with our business model, and we'll add significant future value to the company. So just to summarize, I'm very pleased with this very solid set of results. I think we've done well, again, to maintain the business trajectory, given what's been quite a challenging international backdrop over the past year. And we are on track to achieve estimates of over £31 million for the full year. So I'm very, very pleased with the progress. We've got good visibility now on commercialization of products with our partners making announcements, such as Bosch, such as Doosan, et cetera, and more and more pull into these higher power and new applications like maritime. Our relationship with Weichai is progressing well towards our strategic partnership for China. And we're now actively engaging, as I mentioned, on the SOEC side with the oil and gas with the industrial gas companies as well. So hopefully, we can bring partners into this and have more to say on that in the future. We still plan to move to the main market, and we're on track to achieve that by middle of 2022. So all in all, we're making very significant progress consistent with our purpose to address climate change, decarbonize parts of society, which are not able to achieve that without hydrogen and fuel cells today and ultimately create a very significant business and create further shareholder value. So with that, I'm willing to take any questions.
Operator: Fantastic. Phil, Richard, thank you indeed for the presentation. . I'd also like to remind you that your feedback is important to the company. And immediately after the presentation is ended, it'll be redirected for the opportunity to provide feedback in order that the company can better understand your views and expectations. Elizabeth, if I may just hand back to you to host the Q&A and we're appropriate to do, so just read out the question, please. Thank you.
Elizabeth Skerritt: Thanks very much. Yes. Good morning, guys. Elizabeth Skerritt here. I look after Investor Relations for Ceres. And we've had a few questions coming through. Some from Anthony Plom. Hi. Good morning. He asked what sort of new technologies outside of solid oxide might Mark be looking at in his new CIO role, Phil?
Philip Caldwell: I don't want to be too specific at this point. But they have to be aligned with our purpose, and they have to be aligned with our expertise in electrochemistry. So they're all related to energy transition and how we achieve net zero. So it's those kind of technologies beyond solid oxide.
Elizabeth Skerritt: Yes. Great. And Anthony has a second question. Perhaps, Richard, if you could pick this up. How much run rate does the increase in manufacturing capacity to 3 megawatts give us?
Richard Preston: That's a good question. So what we're seeing with -- especially with electrolysis is that there's more -- because of the scale of electrolysis products at the end of the day are much larger than fuel cell products, we're finding that we can see this future demand for -- this future demand for bigger prototypes, I suppose. And we can -- how much does 3-megawatt give us? It certainly gives us a bit more headway. But I can see potentially that we would look to increase slightly beyond that as well. But it's not something that we've made a conscious decision on yet. But again, it's driven by demand, and it's driven by demand for the prototypes and further early stage programs.
Elizabeth Skerritt: Okay. Great. Thanks, Richard. And question here from Nick, who says, who are your competitors? And then he cheaply adds, are they doing better? I don't think we can comment on that. But Phil, do you want to -- competitive landscape?
Philip Caldwell: Yes, the competitive landscape in solid oxide. Obviously, Bloom Energy in the U.S. is doing well and competes in some of the same markets that we do, South Korea, also getting into electrolysis, et cetera. We're actually seeing now more and more interest in solid oxide electrolysis. I think a year or 2 ago, people were saying, our solid oxide is potentially the highest efficiency, but still at the research stage. Actually, that's changed significantly. Obviously, we're now starting to develop and commercialize solid oxide for electrolysis, so as Bloom Energy, so as Haldor Topsoe. They announced 0.5 gigawatt factory in Scandinavia. So I think it's indicative of a healthy market that's forming, to be honest. On the power systems side, the certain Japanese, large industrial ceramics companies, Miura, which is a conglomerate of several companies. But I think globally, there's relatively few. And I think that's what's exciting for sellers is where we believe we have the world's best technology, and we're also one of only a handful of players in this whole solid oxide space, which is addressing all these massive markets, industrial decarbonization, shipping, green hydrogen, utility-scale power. So I think it just puts us in a really strong position. I'm actually encouraged if more and more solid oxide comes into the competitive landscape because we can't make this market on our own, but I think it's -- solid oxide as a technology is maturing rapidly.
Elizabeth Skerritt: Great. Thanks. And then, we've received a couple of questions through on AVL. So is there any more detail we can provide on progress of AVL and some sort of sense of timing? And the second part of that question was differences that we see between early-stage projects and what the pipeline looks like?
Philip Caldwell: Yes. We're pleased with the relationship with AVL. I think we've already disclosed, we're working on 3 early-stage programs with them in different types of applications. They bring to us some capabilities, some market experience that we didn't previously have. So they're already active in things like the maritime sector. They have capability also in electrolysis. So we -- I can't be too specific at this point because it wouldn't be appropriate, but the pipeline is healthy with them, and it's a growing relationship. So we'll announce on additional partners when they're actually at the right stage to do so.
Elizabeth Skerritt: Great. Thanks, Phil. And probably one for you, Richard. James asked could you say a bit more about the order book and why it is down last year? I think you did touch on this, but he was sort of asked about expectations for growth in the coming year.
Richard Preston: Yes, sure. So I think maybe it's worth just reminding everyone how it works. So we tend to have a small number of large value contracts as our primary contract, and we have a number of smaller ones, which is at earlier stage. Now when we win a new contract, then we tend to have a significant increase in order booking pipeline. And then as we recognize the revenue, I would say, a period of a number of years, some of that revenue -- some of that order book and pipeline will decline as it gets translates into revenue. And so, on an individual contract basis, we expect to sort of sawtooth sort of graph. In other words, pipeline increasing, and then we build it, then we -- as we earn it, as we own the revenue comes off, and then we win another contract, it rises again. And we're just at the stage, principally, obviously, last year, we won a big contract with Doosan and that was a big increase. And what we're doing is recognizing some revenue against that and is naturally coming off now as and when we win new deals, and we expect to win that, of course, then we expect that to rise again. So the general trend is increasing, but there'll just be this sort of sawtooth function as you see it.
Elizabeth Skerritt: And a question from Lacie. Morning. And probably for Phil, on the Doosan partnership, you said in the statement that you believe the target capacity of 50 megawatts could increase further. It seems to me this partnership could meet very quickly, given Doosan's ambitions and the general backdrop in Korea. Lacie asks, is there a limit to how quickly we could meet those ambitions? And what does it mean in terms of putting capacity in people from outside?
Philip Caldwell: Yes, it's a good question. I think Doosan, they're already the market leader in stationary power fuel cells in South Korea. We've seen their ambition towards shipping. We know also that whole South Korean market has very aggressive targets for not just stationary power, but also electrolysis as well. So I think South Korea is going to be a key market for us, and we will do everything we can to support Doosan as our lead partner into South Korea. Right now, we've actually got a team on the ground in South Korea. So refreshingly coming out of the pandemic, we're actually able to get people on the ground to support the technology transfer that's going on. And really, it's the first stage over the next couple of years where we help them to stand up the manufacturing capacity. Once that initial phase is done, it can be increased because they will have then that capability and that knowledge. But the first step is incompressible, and that's really over the next couple of years. So I think it's not like we can bring it forward, but I do think that once we establish this partnership through to production, so 2024 onwards, we expect it will grow in capacity. And if you think about the markets it's addressing, as I've mentioned in the presentation, it's increasingly higher power applications. If you think about an APU for a ship, you're talking several megawatts. If you're talking about utility-scale power, they've already put 50-megawatt power plants using previous generations of fuel cells into production. So it very quickly scales into multi-megawatts kind of applications.
Elizabeth Skerritt: And a follow-up from Lacie. Perhaps for you, Richard, just in terms of recruitment, we added 100 employees in the first half and around half of those were scientists and engineers. But Lacie asks, can we give any indication of what the split is in terms of SOFC and SOEC?
Richard Preston: Yes, I can't really be that precise about that. And the reason I can't is we don't -- we don't treat the 2 businesses as a different business units. So it's not like we recruit 10 people into this business unit and 10 people into that business unit. We want the company a matrix structure with projects. So at the moment, clearly, what's happened in the first half of the year is that we've got a lot of focus into SOEC. I can't really give a split. I think probably the best way to look at it is, if one looks into the accounts, you can see the OpEx split pre-EBITDA and we can get a sense that of where the resource is going. So sorry, I can't be more precise on that.
Elizabeth Skerritt: And coming back to you Phil, and Adam Collins, Liberum asks about Caroline and her strength in digitalization. What is that? What does that look like for Ceres digitalization?
Philip Caldwell: I think it's consistent with the technology business. If you think about traditionally how Ceres develops technology, we will develop stuff at the materials level. We'll build it into small cells and stacks, then we'll put it on test, we'll iterate, and all of that has a certain timeline. And then also, when you're thinking about your ability and lifetime, you're putting things on long-term tests, looking for very small percentage -- points of percentages of degradation, et cetera, over tens of thousands of hours for several years. With our Gen 2 stack, which is our latest generation, which we're developing now, most of that has been done through modeling, through multi-physics kind of software that can predict all of the characterization of what's happening at the cell and stack level. And it's almost -- you might have heard of things like digital twins. If we can develop digital twins of our designs, we can actually predict the design and the performance before we actually go through the whole point of making a cell, putting it on test, which all has a time and iteration. So, it's really the modern way that most major companies now are developing technologies. So the whole move towards digitalization will enable us to speed up the development programs. It will enable us to be a bit leaner on test. A big investment we're putting in now is our test fleet. But again, we get to a point where that becomes a limitation if we're moving into different fuels. We're testing on hydrogen, we're testing on ammonia, we're testing on natural gas. If you think about some of the different applications we're developing, et cetera, simulation and digitalization becomes a key thing. And then you can also apply it into manufacturing as well, digital factories as well, predicting how things move through data mining. I mean, we've got so much data that comes out of our cell manufacturer in terms of cell quality, et cetera, and the different unit operations along the way. So it really will be a step change over the next few years. That'll -- basically, we want the company to go faster on iterations of development and Caroline's experience is invaluable. I mean she developed the digital trend for Lewis Hamilton's Formula One. McLaren, for example, something that's very complex, but it's done in digital and with Babylon Health as well. So it's a -- it's quite a new perspective for sellers that we definitely are going to invest in, in the next few years.
Elizabeth Skerritt: And a follow-up from Adam. And he says good to see the interest from oil and industrial gas companies in electrolysis, excuse me. Do any of our existing partners cover hydrogen production?
Philip Caldwell: Not yet. But it depends on -- if you think about it, our existing partners today tend to be power system companies. But then if you think about our manufacturing partners, there's 2 types of partners here. So if your question is from the end user point of view, then no. But if you think about it from a supply chain point of view, a common manufacturing base, there's no reason why cells that are made in the licensee factory that are going towards fuel cells wouldn't potentially go towards an electrolysis application. Like we've mentioned it's the same core cell and stack, the same core materials, the same core supply chain, the same -- made on the same machines. So it's a potentially very valuable add-on to our manufacturing licensees.
Elizabeth Skerritt: And there's been a couple of questions through about solid oxide electrolysis. I mean I'd encourage anybody who happen to go and listen to the teaching that we did in July because that was quite a deep dive on the tech. But perhaps you could just sum up for listeners here, Phil, in terms of what we see and expect from further development and how it compares with the existing kind of PEM electrolyzer or alkaline electrolyzer landscape?
Philip Caldwell: Yes. Look, the fundamental difference between the solid oxide and an alkaline or PEM is high-temperature electrolysis versus low-temperature electrolysis. So alkaline and PEM sub-100, solid oxide operates from 600 to 850 kind of temperature range. And the science behind it is basically solid oxide cells are higher efficiency than PEM or alkaline. So that's important when you think that the 2/3 of the energy input into making green hydrogen is actually the energy you put in. So efficiency matters. Now where it really matters is potentially where you also have waste heat available, which helps you with that higher temperature operation. And then you can push efficiencies into the high-80s towards the 90% efficient. So the way I see at the electrolysis market is we're going to need all these technologies. They all have different sweet spots or applications, really. Alkali is the most mature. It's been around for decades. It's low cost. And that's probably what you're going to see on some of the really large deployments, particularly where you've got very low-cost energy and maybe power input is less of an issue. PEM is very good at intermittency, low-balancing refueling station. So PEM, obviously has a role to play as well. And the solid oxides really, I believe, come into industrial decarbonization, where you're integrating with industries like steel, ammonia, petrochemicals, et cetera, because then you really get this advantage of efficiency. And like I mentioned earlier, it's not just unique to Ceres. I think you're starting to see solid oxide as being talked about more and more as the future, high-efficiency electrolysis technology. And that's how I see the market segmenting.
Elizabeth Skerritt: And perhaps a follow-up to that, Richard. Tom from Investec asks, could you give us an indication of when the first solid oxide electrolyzer licensees could be announced? Could it be sooner than 2024?
Richard Preston: Yes. I think we can't really give guidance on this, but I think we must -- got to remind the audience that SOEC is more nascent than solid oxide in the fuel cell side of the business. And I think the -- I think there's 2 things here. What we're doing in solid oxide electrolysis is creating a demonstration. Now as we've -- as we've said in the results, is that we've got some good conversations going with some third parties. But I think it's too early for us to expect to be able to license the technology to the third parties. One of the things that we're doing alongside the demonstrator is to create enough IP or more IP, so that it's more valuable to us going forward. And therefore, there's an advantage in waiting to license system IP until that happens. So I wouldn't want to give guidance on timing, but I don't think it's -- we'll be looking at a system licensee to solid oxide electrolysis. I don't think we'd expect to see over the next couple of years or so.
Elizabeth Skerritt: And we've had a few questions through just in terms of logistics supply chain. Are there any implications of logistics challenges? Are we dependent on the supply of any particular gas resources or global shortages impacting us? And perhaps you could touch on this, Phil.
Philip Caldwell: We've obviously keeping a careful watch on this. But I think we're not seeing any near-term concerns at this point. But again, we're making sure that our supply chain is maintaining supply. We're probably using some of the less exotic materials than other technologies, predominantly steel, cerium being very -- the most widely available of the  ceramic materials. But we will continue to monitor the situation carefully because, obviously, it is out there as a global theme, and we've got to maintain the business.
Elizabeth Skerritt: And no implications on the order books?
Richard Preston: No, at the moment, not. I mean Phil's completely right. We monitor it carefully. We mitigate for some materials where we get it from some places, we obviously buy in advance to just in case there is a supply issue. But at the moment, we haven't seen any. And at the moment, I can't see it -- I can't see it affecting the future pipeline or future revenue, but we highlight in the report that, of course, is a risk.
Elizabeth Skerritt: And perhaps another one for you, Richard, as well. And Rory asks what additional costs do we forecast for moving to the main market?
Richard Preston: Yes. So that's an interesting question. Clearly, on the loan market. And as Phil said, we're looking to move in the second -- in the first half of next year. And with our current valuation, we'd expect to move into the 250 index. In terms of additional costs, it's difficult to put a number to it. But -- and clearly, there are additional governance-related costs, which flow into the company, which is just a matter of doing business in the main market. But often, and this is why we see companies moving up into the main market, it's worthwhile to have those additional costs.
Elizabeth Skerritt: And perhaps just to finish on a couple of themes that are also coming through. I think questions is ever around IP and as a worldwide licensing company, how do we protect that? And I guess wrapping into that, if we could say a little bit about the intentions in China and in particular, sort of IP protection?
Philip Caldwell: Yes. Look, we spent quite a lot of investments on harvesting, capturing and maintaining IP. It's something that we do well at Ceres. And we have that both as registered IP in the form of patents, but also trade secrets and know-how as well. So the whole IP portfolio is a combination of those. We also obviously protect it to our contracts and our licensing arrangements. And mainly, we partner with people that also have high respect for our IP. And also, if you're a licensee of our technology, you also then have a valuable asset that you also want to maintain and protect. It's no different in China. Our strategy towards China, which we believe will be one of the biggest markets for hydrogen and fuel cells, undoubtedly, is getting the right partnerships in place. And through those partnerships, that's how we intend to protect our interest.
Elizabeth Skerritt: And then, Richard, what are the key milestones we should expect news in the run-up to the end of the year?
Richard Preston: I think we've mentioned in the report and it's difficult to be too precise. I mean, clearly, one of the things that we're working on is the joint venture in China and moving that forward before the end of the year. So that's really the prime objective of us. And as we said, we can't update at the moment. This is something that we would certainly hope to before the end of the year. I think that's the prime one. I think there's -- otherwise it's going to be just general positive movement on SOEC. As we highlighted, we're talking to a number of partners there as well. But I think that's probably sufficient.
Elizabeth Skerritt: Yes. Okay. And Phil, just to close out, maybe we have COP26 coming up in November. Is there anything that world leaders could be doing to assist in getting technology, fuel cell and hydrogen technologies, further up the agenda?
Philip Caldwell: I think it's firmly on the agenda now, to be honest. If you'd asked me that question a year or so ago, I would have said they can do a lot more. But I think now 30 of the world's economies already have hydrogen policies. We saw President Biden announced tax breaks of about $3 a kilo for green hydrogen in the U.S., that's a big step forward. So I actually think it is on the agenda for call. And I think the initiatives such as Biden has taken in terms of tax breaks, incentives to actually enable the market to really take off probably the biggest steps that could happen along with carbon pricing, I think the more and more that we do on setting carbon pricing or more and more of these applications that are hard to decarbonize then come into the money in terms of potential for green hydrogen. So I'm actually optimistic that things are going in the right direction. And I think there's definitely -- there's definitely the investor appetite out there to back technologies that really address net zero. So I think it's happening. I think it's real and I think COP26 will hopefully move it on further.
Elizabeth Skerritt: Great. Thanks very much, and thanks to everyone for their questions. We'll be sure to go through each in detail, and publish answers following this. And I'll hand back to our host.
Operator: That's fantastic. Elizabeth, thank you so much for hosting the Q&A. Phil and Richard, thank you again for such detailed responses to all the questions that have come through. And as Elizabeth said, all the questions that have been sent in the company will have the ability to review and we publish responses where it's appropriate to do so. Just on that basis, Phil, perhaps I can just ask you for a closing snapshot before I redirect the investors to give you some feedback, please?
Philip Caldwell: Yes, sure. Like I said, I think it's a very positive set of results today. We've doubled revenues in -- compared with last year. We maintained the high margins that we enjoy as an IP licensing business. We're making great progress on the electrolysis side. And we now have over £250 million of cash on balance sheet following the raise earlier this year. And we expect to be able to announce new partners coming on board, hopefully in the near future on power system, but increasingly on the electrolysis side as well. We've opened in the new markets into things like decarbonization for maritime. And we're making good progress towards our relationship with Weichai in China, which is going to be a very important market for us. So the business is in great shape, and we're growing fast. And the investment enables us to go faster.
Operator: That's absolutely fantastic. Phil, Richard, thank you again for updating investors today. Could I please ask investors not to close the session as you'd be automatically redirected for the opportunity to provide your feedback in order that the management can better understand your views and expectations. This will only take a few moments to complete, and it's greatly valued by the company. On behalf of the management team of Ceres Power Holdings, we'd like to thank you for attending today's presentation. That concludes today's session. Thank you, and good morning.